Operator: Thank you for standing by. Welcome to the ArcBest Corporation's Second Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, July 31, 2014. And I would now like to turn the conference over to David Humphrey, Vice President, Investor Relations. Please, go ahead sir.
David Humphrey: Welcome to the ArcBest Corporation Second Quarter 2014 Earnings Conference Call. We'll have a short discussion of the second quarter results, and then we'll open up for a Q&A. Our presentation this morning will be done by Ms. Judy R. McReynolds, President and Chief Executive Officer of ArcBest Corporation, and Mr. Michael Newcity, Senior Vice President, Chief Financial Officer and Chief Information Officer of ArcBest Corporation. We thank you for joining us today. In order to help you better understand ArcBest Corporation and its results, some forward-looking statements could be made during this call. As we all know, forward-looking statements, by their very nature, are subject to uncertainties and risks. For a more complete discussion of factors that could affect the company's future results, please, refer to the forward-looking statements section of the company's earnings press release and the company's most recent SEC public filings. We will now begin with Mr. Newcity.
Michael Newcity: Thank you for joining us this morning. As you know at ArcBest we have working for some time on our goals to returning ABF Freight to sustained historic profitability and enabling our merging business to grow so that we can better serve customers across the supply chain. This quarter reflects another period of improvement and we are gratified to see these results. ArcBest’s second quarter 2014 revenue was 658.6 million compared to 576.9 million last year, an increase of 14%. Second quarter 2014 net income was $0.63 per share compared to net income of $0.18 per share last year. Including an adjustment for a pension settlement charge of $0.02 per share related to our nonunion defined benefit pension plans, second quarter net income was of 17.8 million or $0.65 per share. As we have stated previously, we expect to incur non-union pension settlement accounting charges throughout 2014. As a result of the July 1, 2013 freeze of benefit accruals under the plan settlement accounting charges occur when the lump-sum distributions of the plan exceed the plan’s annual interest cost. We anticipate quarterly amounts for the reminder of the year to be in the range of 1 million to 2 million on a pre-tax basis. The amount and the timing of these charges will depend primarily on future lump-sum distributions. These charges are non-cash and the results of accounting rules requiring the write-off of the actuarial losses. In the earnings press release we highlighted a couple of items that are included in our second quarter financial results. First, these fact of the two class method used for calculating earnings per share requires the allocation of the portion of dividend and net income to unvested restricted shares in determining per common share amounts, for the second quarter this equal $0.03 per share. Secondly, the costs of long-term incentive plans that are driven by ArcBest’s total shareholder return relative to its peer group. During the quarter this equal $0.07 per share. On a combined basis, these two items were approximately $0.10 per share in second quarter 2014, compared to a $0.02 per share effect in second quarter of 2013. These items could occur in future periods depending on financial results and changes in ArcBest’s share price. We ended the second quarter with unrestricted cash and short term investments of 165 million combined with the available resources under our AR securitization agreement, our total liquidity equals 223 million. Our total debt of 190 million includes the remaining 77 million balance on a 100 million 5-year term loan associated with the Panther acquisition and 42 million of capital leases and notes payable, primarily on ABF Freight revenue equipment. The positive interest rate on all of our debt is 1.8%., below the 2.1% interest rate we had at the end of the first quarter. Full details of our GAAP cash flow are included in our earnings press release. ABF Freight reported second quarter revenue of 493 million, a per-day increase of 11.2% compared to last year. ABF Freight's quarterly tonnage per day increased 6% compared to last year's second quarter. By month, ABF Freight's 2014 daily tonnage increased versus the same period last year was 5.8% in April, 5.1% in May and 6.8% in June. ABF Freight reported a second quarter operating ratio of 95.4% improvement of 3.4 operating points compared to the second quarter of 013. ABF Freight second quarter 2014 totaled billed revenue per hundredweight $28.91 an increase of 4.2% versus the second quarter of last year. On a sequential basis compared to this year’s first quarter revenue for hundredweight increased by 6.9%. ABF's Freight total weight per shipment was 1,360 pounds reduction of less than 1% versus last year’s second quarter on the sequential basis weight per shipment decreased 3.6%. ABF Freight's average length of haul equaled 1,019 miles, almost identical to what it was last year second quarter with the 1,017 miles and then this year’s first quarter of 1,018 miles. Preliminary results for the month of July 2014 indicate that ABF Freight's total tonnage per day is expected to increase by approximately 5%. July 2014 daily revenues for ABF Freight should be between 9% and 10% above July 2013 levels, be approximate 4% to 5% year-over-year increase in the revenue for hundredweight reflects great mix changes and improved rates on customer accounts. The Freight and exchange is related to increases in the amount of LTL shipments moving to be ABF Freight network and reduction truckload related weighted tonnage associated with price increases implemented on the spot business. Second quarter revenue and all of our emerging businesses totaled 178 million represent a 28% increase over last year. On a combined basis in the second quarter, these businesses produced EBITDA of 10.2 million an approximate increase of 47% compared to 6.9 million than last year second quarter. Panther had an outstanding second quarter with revenue of 81 million an increase of 35% over last year. Panther second quarter operating profit was 4.4 million compared to 1.5 million during the same period last year. Panther second quarter 2014 EBITDA was 7.2 million an increase of 76% compared to EBITDA 4.1 million during the second quarter of 2013. FleetNet, our Emergency and Preventative Maintenance company, increased its second quarter revenue by 16% versus last year. Its operating income declined from last year second quarter due to a receivables write-off associated with the bankruptcy of a large customer. ABF Logistics reported second quarter revenue of 35 million compared to 24 million last year an increase of 46%. Second quarter operating income for this unit increased by 69%. ABF moving or household goods moving services division increased second quarter revenue by 8%. Second quarter operating income was below that of last year due to changes in shipment mix and investments in personnel and other resources we continue to make. The steady growth of our emerging businesses is an important part of our strategy for offering a broader (inaudible) of logistic services to all of our customers. During the second quarter, these businesses represent a 27% of ArcBest total revenue, an increase over the same period last year. Moving forward, we are excited about how they will contribute the ArcBest success. And now, I will turn it over to Judy.
Judy McReynolds: Thank you, Michael, and good morning everyone. During the recent period, we had some of our strongest results in quite some time including solid profitability at ABF Freight and an outstanding quarter at Panther. This is encouraging as we continue to focus on our goals of providing more transportations and logistics solutions to our customers. While we always have more work to do, we know that solid execution and an outstanding service across the board keep our customers coming back and asking for even more solutions from our company. In fact, I would like to mention that our company’s new brand identity logos, advertizing campaign and tagline “The Skill & the Will” have been well received by customers and by our employees. I have had many positive conversations about how people are better understanding the full breadth of services we offered across the supply chain and what sets us apart in the marketplace. As we continue with our efforts to promote these holistic services, we are excited about the public launch of our new website TheSkillandTheWill.com in early August which will complement our new corporate website ARCB.com. TheSkillandTheWill site contains many real-life stories from our customers who have been (inaudible) in concrete ways from our employee’s willingness to go above and beyond to solve their complex logistic challenges. I encourage you to visit and sign up for email alerts that will let you know when new stories appear. And now on to the results. ABF Freight benefited from an improving economy and tighter industry capacity that contributed to the additional freight moving to out of its network. ABF Fright’s lower cost structure from its new labor contract and the benefit of an ongoing analysis and operational adjustments through its freight network contributed to improve profit margin. ABF Freight’s pricing was solid during the quarter consistent with the positive pricing environment throughout our industry. Contributing factors included a stronger economic environment and a more optimistic outlook by shippers and an increased utilization of labor and equipment resources across all transportation loads. The 5.4% general rate increase ABF Freight implemented in late March positively affected approximately 35% of our freight business throughout the second quarter. On contract and differed pricing agreements that were negotiated during the quarter, ABF Freight obtained increases averaging 3.2%. We were very pleased that compared to last year, ABF Freight increase second quarter operating income by more than three times, however the incremental margins associated with ABF Freight business growth have been below our expectations due a couple of factors which were actively addressing. First, the increased freight levels have resulted in the need of additional dock employees throughout the ABF Freight network, because of reduced availability of employees in (inaudible) we have added a considerably higher percentage of new dock employees with little or no previous freight handling experience. Despite receiving the standard training and instruction provided to all new ABF Freight employees, the freight handling productivity at these new employees has been approximately 20% below that of our more experienced dock workers. Because we are currently utilizing a high number of these employees with less than one year of experience, the reduction of ABF Freight second quarter ’14 dock productivity has unfavorably impacted our operational metrics in the incremental margins on the new business we have added. Our reputation for efficient freight handling and superior cargo care is a result of trained and experienced workforce. ABF Freight has doubled the normal amount of training and mentoring offer to these new employees we believe that the freight productivity in the second half of the year will improve as we help these new freight employees gain valuable experience and training and knowledge in the efficient handling and loading of shipment. Second, equipment maintenance and repair cost have been running above historical levels. This is due to increased mileages and longer lives on ABF Freight tractors resulting from more lengthy and service lifecycles. In addition, 2013 revenue equipment purchases were significantly below normal due to uncertainties surrounding ABF Freight new union labor contract that was ultimately implemented in November of last year. As previously announced ABF Freight 2014 capital expenditure plan includes approximately 60 million of revenue equipment that provide for 444 new replacement road tractors. The new equipment we are replacing this year should move us toward a more normal replacement cycle, decreasing average equipment age and contributing to reduce maintenance and repair expense. We are also evaluating our equipment fleet to identify and correct patterns of high cost usage and to seek opportunities for anticipating expensive breakdown before they occur. Earlier this month, ABF Freight announced the addition of Mike Moss as Senior Vice President of Operations. Mike has 30 years of leadership experience throughout the LTL industry and in the development of new non-asset and international transportation services we are already benefiting from his knowledge in the fresh prospective that he brings to our company. Our emerging businesses are an important part of our financial growth and success as they enhance the service offerings we provide to the transportation marketplace. Panther experienced one of the most successful quarters in it’s history. During the second quarter, Panther set all-time records for revenue, gross profit and EBITDA. They came within $50,000 of having their best quarterly operating income in company history. Market demand for premium logistic services continues to be very strong and Panther is well positioned to meet the precise demand of these shippers. As we saw in the first quarter, all of the markets that Panther services had strong revenue growth and gross profit increases compared to the same period last year. Customer business and automotive, high value products and manufacturing had especially strong revenue growth and revenue growth in government related shipments was another second quarter strength. This extends the Panther reflects more business from existing customers and the addition of new customers. Limited capacity in the specialized areas in which Panthers excels is contributing to improve pricing and better margins as well. Despite the milder than expected second quarter temperatures throughout the country, FleetNet experienced revenue growth due to increased service events for new and existing customers and the addition of new accounts for which FleetNet is providing Preventative Maintenance services. Improved pricing for FleetNet services has contributed to the second quarter success. In the mix of continued challenges faced by transportation fleets regarding the equipment maintenance and safety, FleetNet offers expertise and actionable data that solve costly problems for fleet managers and assure the improved dependability of their equipment. During the second quarter, ABF Logistic continued its pattern of top line revenue growth, the result is from increased shipment cunts and some higher revenue per shipment. Second quarter operating profit increased over the last year at a healthy rate even if ABF Logistics added new employees to service business growth and continued its investments in new and enhanced systems designed to respond to the fast pace demand for its services. Improved profit margins compared to the first quarter reflect the expected benefits of additional experienced gained by personnel who joined the company in previous periods. ABF Moving continues to grow its business though shipment changes and investments we are making a personnel and system impacted the second quarter profitability, we believe the prospects for this business are good. And now for some news at our company's during the recent quarter. In the most recent listing of the company's included in the Fortune 1000 list of largest companies, ArcBest moved up 38 spots to number 889. We think this is a strong indication of the growth that we have seen particularly in our emerging businesses which we continue to focus on during the last half of 2014 and beyond. In May, we announced the annual winners of ABF Freight President Quality Awards. The four ABF Freights service centers recognized St. Joe Missouri, Vancouver British Columbia, Akron Ohio, and Albuquerque New Mexico, it (inaudible) their dedication in fulfilling the requirements of ABF Freight quality process and their service to our customers. For over 30 years the principals of the quality process have been the foundation of training and the basis for how every ABF Freight employee does his or her job, receiving the ABF President quality award is one of the most prestigious honors in our company and it identifies these facilities as leaders in customer service excellence. Panther excels in understanding challenging customer needs and responding to innovative logistic solution. As an example, Panther was recently named as the 2014 Preferred Transportation Supplier of Bosch Group for many of its customers Panther is an indispensable part of their supply chain and it’s recognition by Bosch illustrates that fact. As an example of the ways in which we are helping our people better understand customers changing needs, ABF Freight recently sponsored a supply chain forum at the University of Arkansas Walton College of Business. Sales leaders from all over our companies got to together and learned more about each other’s businesses experienced outstanding supply chain course forward by the Walton faculty and gained some real insights into how the market changes rapidly. This was a great event and we are confident that the new connections our people made will be helpful in their daily responsibilities and their ability to cross sale. Although we have much more to do to achieve our goals, our company's efforts to serve customers of the holistic provider of transportation logistics solutions are paying off. We are energized by the opportunities before us. And now David I think we are ready for some questions.
David Humphrey: I think we are ready to start the Q&A Session.
Operator: Thank you. [Operator Instructions] our first question comes from the line of Bill Greene. Please proceed with your question sir.
Billy Greene - Morgan Stanley: Hi there. Good morning. Judy, can we ask for a little bit clarity on these cost and the trends going forward because I think you probably recognized it ruined by surprise at how little leverage there was to the very good top line. So how long does it take for these guys to get the productivity in, can we see a normal OR sequential change as you have seen historically or should be much better because the trends still remain pretty good from the top line trend but how do you think about these factors?
Judy McReynolds: Well I will give you a couple of data points. First one is in July, we are not yet seeing the improvement that we are all looking for and so it is a process. It’s going to take us some time to get this training implemented and these people with more experience. But the second data point I will give you is really after one year of experience there is a significant productivity chance and we get nearly all of the productivity difference back as we have these new workers become more experienced. And another point to keep in mind is just the impact this has had on our company. Our employees with less than one year experience represent about 13.5% of ABF total workforce and that compares to about nearly 4% in the previous year. So it is a big impact item and really the last thing that I will add is we have really seen an unprecedented sequential growth in the company really if you look back to the beginning of the fourth quarter last year and you look forward we have seen the strongest sequential growth in over 15 years. And so we are adding people to try to address that but we do have to have the training and experience in those people to expect the normal productivity that we have from our more experienced dock workers.
Billy Greene - Morgan Stanley: Okay. Is it safe to say though that as things get tighter in the marketplace and assuming these top line trends continue, you wouldn't have this kind of challenge on the driver side right because given the contract nature of your workforce that wouldn't –we wouldn’t think driver shortages and wage pressures would exists in the same way for you, is that fair?
Judy McReynolds: Wage pressure certainly because we have a contractual rate that we are paying for those drivers. But in terms of the experience of the people that we add, we typically have experienced people that we are adding to the company and we haven’t seen the same issues in our drivers. And so that is per say.
David Humphrey: And I will just add as far as our turnover with drivers it runs about – if you pull out this normal retirements to runs in the 3% to 4% range. So with these we have been pretty successful with that.
Billy Greene - Morgan Stanley: Yes, I wouldn't figure there is much of an issue for you guys. Alright. Thank you.
David Humphrey: Thanks a lot Bill.
Judy McReynolds: Thank you.
Operator: Our next question comes from the line of Chris Wetherbee, please go ahead.
Chris Wetherbee - BofA Merrill Lynch: Thanks. Good morning, guys.
Judy McReynolds: Good morning, Chris.
Chris Wetherbee - BofA Merrill Lynch: When you think about you know I guess when you think about the mix of tonnages verus yield and you are talking about some of the productivity and having to bring some of these folks on who have less than one year experience and I guess in the past you have talked when you going through the teamster negotiation but potentially having a shrink in profitability and gotten past the labor contract and you have a lot more flexibility and ultimately more profitability potential it seems, I guess I just want to maybe understand how you think now about that mix of volume versus yield? I know this group of folks will get better productivity as we go out of the 2015 but do you feel like you need to pull back a little bit on the volume growth or is that maybe too much of a stretching you kind of want to continue to push the volume growth now that you have the labor piece in place?
Judy McReynolds: I think the approach that we take is to look at each pricing deals and based on the impact that that it has on our company, will move forward with the business or we won't and so that's true all the time. It really in most any environment but we have I think in July seen something that I think is noteworthy to your point and that is we are experiencing stronger LTL growth so we have through our spot rates really adjusted the business that we are taking on the full truckload side and so that is one way that you can address this. Although that business can't be good for us in certain situations where we need back-half filled and that’s what we are saying. So we are making the adjustments so that we can have the best business in our network for the company's profitability.
Chris Wetherbee - BofA Merrill Lynch: Okay. That's makes sense. It's very helpful. And then just my follow-up would be when you think about the non-asset based businesses, you are clearly getting some good top line growth on the revenue as we think on to the back half of the year in 2015, do we start to see some of the profitability of those businesses begin to ramp up, I know Panther is doing a good job but I just want to think about maybe some of the other pieces of that business.
Judy McReynolds: Certainly that's what I would expect. We have a continual opportunity it seems here to grow and so we are looking at those opportunities and investing in people, investing in systems but when you get further into your process of acquiring market share and gaining that business, I have an expectation that we’ll see the profitability of those businesses improve.
Chris Wetherbee - BofA Merrill Lynch: Okay. Thanks for the time. I appreciate it.
David Humphrey: Thanks Chris.
Operator: Our next question comes from the line of Scott Group. Please go ahead sir.
Scott Group - Wolfe Research, LLC: Hey thanks. Morning. So Michael, help us think about the $0.10 of EPS drag from some of the incentive component and things like that that you talked about. I know it's tough to predict but given the way you guys are thinking about the earnings in the back half of the year, the stock now at 35 do these – should we expect similar kinds of year-over-year drags from that in the back half?
Michael Newcity: Scott, I will start with the smaller amount first and then go to the larger amount but on the two class method, that's about -- when you think about it, that's a result of a change in accounting requirements that was put in effect in 2009. It applies and we got two classes of share common and restricted and you have got to and since our unvested restricted stock units pay dividends, they are considered participants in the securities and so we have to required use of two class method for determining EPS. And that method requires that we – that dividends paid and undistributed earnings be allocated between the common and restricted shares but it also requires that the disclosure of the EPS is only based on the common shares. And so when you think about the adjustment on the allocation of ROCE it’s about 5% during profitable quarter, it doesn't apply the losses and so that per share impact is going to increase as earnings increase. So the second quarter of 2014 was the most profitable quarter we had in six years that's why that impact us, the largest we have seen since the accounting rule was implemented. It was $0.03 in the second quarter 2014, it was $0.01 a year ago so we expect that have 5% impact during profitable quarters. On the incentives, we have got long-term incentive plan in place. It's proportionally weighted on return on capital (inaudible) and it also shareholder return is relative to an industry peer group, these are earned over three years of period and so for the second quarter of expenses related to these plans about 2.9 million pre-tax, 1.8 million after-tax or about $0.07 per share and it just reflects the expense and the improvement operating results primarily the drive in the total shareholder return relative to peer group, our best total shareholder return on an annualized basis was 197% measured from the average of the last 60 days and we believe the component directly aligns the incentive with shareholder value creation relative to our peers and ROCE component aligns management interest for profitability goals and the appropriate use of capital, we feel that's inappropriate alignment.
Scott Group - Wolfe Research, LLC: That makes sense but just not clear is that like a mark-to-market adjustment or is there similar kind of drag in the third and fourth quarter from that?
Judy McReynolds: Scott it depends on what the stock price performance is and what our returns are. It's a relative CSR plan, so it’s performance against that metric if you will. If you look at our proxy you can see our competitive group that we have there and so it's stock price performance against that relative CSR.
Scott Group - Wolfe Research, LLC: Okay. And then just other question can you just remind us what the – when and how much the teamster wages go up and then any health and welfare increase as we need to start thinking about as well?
Judy McReynolds: Scott, on July 1st, we had 2% wage increase. And for the health welfare and pension on August 1st, there is $0.62 an hour increase. It's about 3.6%. So all in, when you consider the July increase per wages and for health welfare and pension, it's about 2.7% increase.
Scott Group - Wolfe Research, LLC: Okay (inaudible) I think.
Michael Newcity: Perfect. Thanks Scott.
Scott Group - Wolfe Research, LLC: Thanks a lot.
Judy McReynolds: Thank you.
Operator: The next question comes from the line of David Ross. Please proceed.
David G. Ross - Stifel, Nicolaus & Company: Yes, good morning everyone.
Michael Newcity: Good morning.
Judy McReynolds: Good morning, Dave.
David G. Ross - Stifel, Nicolaus & Company: Sorry if I missed in your comments but when you are talking about rail service having a negative impact on the quarters and the competitors like by the congested rail networks causing them to shift freight back to trucks and leading to higher PT costs, are you seeing the same things I know you guys use the amount of rail.
Judy McReynolds: We did see some impact. It was primarily in the line of services from Chicago to the Pacific Northwest and we have reduced our reliance on that lane and moved to using more purchase transportation there and so we have seen some impact and we are actually down our use of rail. So if you compare to last year, we had about 14.1% of our miles of rail and last year it was about 15.8%. So it's not a dramatic impact but it's has had some impact. But we have been able to make some adjustments.
David Humphrey: A little bit of that too is the fact that we uses some purchase transportation in some lanes especially I think on the eastern part of the country that we would have maybe done rail before so that's another factor as well.
David G. Ross - Stifel, Nicolaus & Company: Do you give average length to whole for second quarter?
David Humphrey: 1,090, it's almost identical to what it was in first quarter and in second quarter. 1,090.
David G. Ross - Stifel, Nicolaus & Company: Okay and then last question just on the new labor deal that you have got in place and some of the productivity improvement you are expecting. When do you expect (inaudible) and should we expect much by the end of this year or is it more of 2015 event?
Judy McReynolds: Well, we are going and see gradual improvements on the productivity issues and we are continuing to evaluate our network and the appropriateness of it relative to the business that we have and we do expect to see some changes more of that would be in 2015 in terms of kind of a material effect and so those are some of the factors that we are looking at.
David G. Ross - Stifel, Nicolaus & Company,: Thank you.
David Humphrey: Appreciate it, Dave.
Operator: Our next question comes from the line of Todd Fowler, please proceed.
Todd Fowler - KeyBanc Capital Markets Inc., Research Division: Great. Thanks. Good morning everyone.
Judy McReynolds: Good morning Todd.
Todd Fowler - KeyBanc Capital Markets Inc., Research Division: Hey Judy. So I want to make sure I understand the comments on the yields in the press release and Michael’s prepared comments. Is the commentary there that you started to restrict the amount of heavier weighted truckload freight in the network and if that's the case, when did you make that decision in the quarter I mean was that something that was done early in the quarter or later in the quarter. I am trying to get a sense of maybe what the impact would have been given the quarter what we can expect going forward on yields?
Judy McReynolds: Well you know I think we made some adjustments to that in April and it continue throughout the second quarter and it continues in July.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. So it wasn’t kind of a drop deadline we are stop doing this, it's been tweaking overtime and --
Judy McReynolds: No. it's never -- nothing is ever drop dead really. I mean these are all things that get adjusted based on what we are seeing and we have the ability to right that up and we have the ability to take it back down as appropriate and again with some of the issues that we are facing on the productivity side and the network pressure side, we are making sure that the business that we are doing is the best business we could do from a profitability standpoint. And so that is the factor but that business is always there for us to adjust and take more of.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: That makes sense and then can you give a sense of what you think the cost benefit was in the quarter from the new labor contract and kind of what percent that would be overall and same sort of thing for the change of operations this year and the terminal reduction, how much benefit you think you might have been able to get here and kind of still what you could realize going forward. Thank you.
Judy McReynolds: Based on the previous ranges that we have given on the labor contract we are right in line with what we previously thought we would have the savings and then on the network side the same thing. When we look clearly at the change and what that did for us, its right in line with our expectations and these offsets are really largely because of the growth that we have experienced. This significant growth from the sequential same point that we have experienced really since the beginning of the fourth quarter of last year.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: But on the labor contract and the network, you are not about 100% of the benefited in the quarter.
Judy McReynolds: No. We are aware, we said that we would be in our when we announced the changes and so we can get back into the details for that offline if you like – we can do that but we are seeing what we expected to see based on the timing that we outlined.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. Thanks a lot for the time.
David Humphrey: Thanks Dave.
Operator: Our next question comes from John Barnes. Please proceed.
John Barnes – RBC Capital Markets: Good morning. Just one question. If I recall under the labor agreement, it's kind of get little bit of circular logic in that you know as you see some more improvement in the OR, certain thresholds you start to have to give back some of the negotiated wage reduction can you talk a little bit about I know you have got some (inaudible) that have kind of cropped up here but do you have some ideas of when you might begin to experience having to give some of that back, I’m wondering you talk about a year where you start to see that productivity benefit, are you thinking and it’s a year from now where you start to have returns some of that to the union or do you anticipate, be hitting some those thresholds little sooner than that.
Judy McReynolds: Well, certainly on that front, we would love to hit those and we would love to pay that incentive, we think that that would be the ideal situation for us. John, in order for me to really answer that question I’d have to forecast our earnings and we’re not in the business doing that and so we’re not going to really do that but the threshold or the level a walk that we need to get to that places at 96 and so and that’s for ABF Freight, it’s 96 OR and so based on your modeling, you can look at where you think that that comes about and we think that it would be a positive if we had that occurred.
John Barnes – RBC Capital Markets: Yes, that makes sense but I guess where I’m coming from is, you could see a nice improvement in some of these costs that you are talking about, you hit that threshold but then you turnaround have to give some of that back, we negate some of the benefit right I mean and I’m thinking about that right, I mean?
Judy McReynolds: Well, that absolutely would be an increase but think about this, if we were able to engage, our people in terms of that incentive and what the future would whole from that point, I think that would be a great day.
John Barnes – RBC Capital Markets: Okay, alright. That makes sense. Alright, thanks for your time. I appreciate it.
David Humphrey: Thanks John. I appreciate it.
Operator: Our next question comes from the line of Ken Hoexter, please proceed.
Ken Hoexter – BofA Merrill Lynch: Great. Good morning. Can you run through the volume throughout the quarter in terms of trends and then secondly, you did a great review Michael on the common and restricted and incentive comp, maybe you can just touch on the pension settlement expense does this paid you much in the million dollar, does this paid way over the next few quarters or is some in perpetuity kind of expense.
Michael Newcity: Well, its time for perpetuity, it’s going to fade away over time when you think about what we’ve got remaining on actuarial losses that’s going to come down, as we make lump-sum distributions on the existing participants in the DB pension plan and there is lots of variables in that, how that moves in and out but it’s something that we quarter each quarter going to talk about but the one to two millions are good near term to be on that range and that steps down will give some more color on that.
David Humphrey: On the monthly tonnages, April this are year-over-year versus the same period last year April 0.8% May 5.1%, June 6.8% and then the total quarter was 6%.
Ken Hoexter – BofA Merrill Lynch: Okay and then last I guess just a follow-up on the couple of prior questions, did I hear you right Judy on the facility closing benefits, are there any potential further benefits from facility closings or have we seen the benefit already rolled in?
Judy McReynolds: Well, the benefit of the network change that occurred in February is in place and so we are continuing to see that. Just to give you some idea of what we were doing on an ongoing basis, we in July, we have a western change of operations that we did that really establishes or reconfigures the HBSC locations in Phoenix, Seattle, Denver and Dallas. And what we were doing there is we’re improving consistency, the service and velocity and many of our western links, this change that I’m talking about is really not impactful more from our cost saving standpoint but it’s impactful from a service standpoint but in addition to the network change that we did earlier this year, we have this one in July a talk about that we’re going to be continually evaluating the network and that there will be further changes, none of them will be more impactful, some of them will involve cost savings but the emphasis from this point forward is relatively on service.
Ken Hoexter – BofA Merrill Lynch: Wonderful, I appreciate the time. Thank you.
Judy McReynolds: Yes, no problem.
David Humphrey: Thanks you. Operator Your next question comes from Art Hatfield. Pease go ahead.
Unidentified Analyst: Yes, good morning. This is Derek Ruby in for Art.
Judy McReynolds: Good morning Derrick.
David Humphrey: Hi Derrick.
Unidentified Analyst: I just wanted to piggyback on Scott’s earlier question, your incentive based compensation, is there a rule thumb for us to think about going forward, just exclusively any benefit from your incentives related to return on capital, just for the stock moment, is there a rule of thumb in terms of operating income impact from the dollar moving your stock price?
Judy McReynolds: Well, I’ll tell you what you can do is look, I mean the plan and the way that it structured is disclosed with our proxy and so you can get the details of the plan there and we can talk about that offline but it really is a relative it’s 50% is based on a relative major and that’s again over a three year period of time that total shareholder return relative to our peer group and then the other half of that is return on capital employed base and so there is really I mean rule of thumb is probably not a term that you can use with but there is work if you want to go in and look at how the plan is structured that you could do better understand it. For instance, we had some expenses associated with this plan in the fourth quarter when we saw our stock price really move up relative to our peer group and in the first quarter there wasn’t much expense because there wasn’t much of an increase. So it was more flat. And then in second quarter we saw some movement again in our stock price and we have expense. So I don't wanted to sound over simple but I do want to tell you it was kind of past history has been on this and part of the issue that we are dealing with is the acceleration of that. It's a great thing from a shareholder value standpoint and it's very well aligned, management incentives are very well aligned with the result that the shareholders get but the details of it you can find in our proxy.
Unidentified Analyst: And had do you give the 4Q expense?
Judy McReynolds: It was included in the press release as a footnote. It was there.
Unidentified Analyst: Alright. I appreciate the color there. I wanted to turn also to contract pricing. It looks like I think from the commentary it was about 3% in the second quarter that's down a little bit off the first quarter. I think most of your competitors are saying right now it's order of magnitude around 4%, is there anything going on that you are seeing in your particular pricing of book of business that maybe your competitors, I know you can't speak your competitors but maybe something in your book of business is causing that built a little bit lower?
Judy McReynolds: No. I mean I think that this is a good pricing environment we expect to have good results there and really what you would have to do is look at the underlying stories and the account-by-account impacts and decisions that were made for the quarter. Ideally that would be higher and so I am glad to see that the marketplace is leaning that direction. But there is nothing that I would, if I were you be concerned about as far as that goes I mean that's a decent number and certainly we are in a market where we can get that number and better.
Unidentified Analyst: Thanks a lot ma’am.
David Humphrey: Alright. Thank you.
Operator: Our next question comes from the line of Matthew S. Brooklier. Please go ahead sir.
Matthew S. Brooklier - Longbow Research LLC: Hey. Thanks. Good morning. I wanted to circle back to the dock worker headwinds that you have experienced in second quarter, is there any way to quantify, when you talk about productivity but to quantify how much of an impact it had on overall profitability or margin strength in 2Q?
Judy McReynolds: So I mean I think you know from if you look at the measures of productivity that we had for the quarter, if you look at bills or shipments per dock street and yard hour is down about 4.4% towns per DSMIR was down about 5%. Those are above metrics that can be used to develop the numbers based on how you model that. We typically don't give all the pieces. We don't – we allow you guys to model ours and they are associated with different business levels and that sort of things. But those are two of the metrics but if you look at those probably about 80% of the impact in those relates to this issue about new hires.
Matthew S. Brooklier - Longbow Research LLC: Okay. Helpful and then you would mentioned that in your previous comments that after 12 months the dock worker productivity, there is a pretty significant increase I guess does it take a full year before the full training kicks in and they are comfortable and they are back up they are kind of average productivity levels or can you kind of accelerate that process to get them up to speed?
Judy McReynolds : Believe we are trying our best to accelerate that process but it does take time when you are somebody, if it's in fact a worker who has never driven a forklift so you can imagine how that would be. But we do expect that there would be gradual improvement over that period of time. Certainly not, that it has to be in place for that entire period before you see some improvement. We are going to see some improvement ahead of that full year. I just gave that because that's really kind of length of the time that it takes to fully recover and from that difference as a new person relative to an experienced person.
Matthew S. Brooklier - Longbow Research LLC: Okay. Helpful. Thanks for the color.
Judy McReynolds: Thanks.
Operator: Our next question comes from the line of Jeff Coffman, please proceed.
Jeff Coffman - Raymond James & Associates, Inc.: Hi, everybody.
Judy McReynolds : Hi, Jeff.
Jeff Coffman - Raymond James & Associates, Inc.: Hey love the logo.
Judy McReynolds : Good.
Jeff Coffman - Raymond James & Associates, Inc.: I just have two questions and really kind of following up on questions that been asked. I will go ahead and read the proxy so I better understand the three year program but let's say the stock doesn’t outperform the peer group over a period, is the clawback against what was accrued only to the current fiscal year you don't actually clawback any previous years, right, it is only within the fiscal year?
Judy McReynolds: Well no. it's these are three year plans and so it would be recorded and it based on again the relative TSR or that period to-date you would adjust to that in the period to that change occurs and so it's really I want to say marked to market but it's not exactly that because it's relative performance measure but it is like that in that as the price changes you evaluate where you are against the benchmark or the peer group and you make the adjustment in that period.
Jeff Coffman - Raymond James & Associates, Inc.: Alright. So if the stock underperforms, it would actually aid earnings as oppose to this quarter where it – okay I understand. And then the second question, thank you for providing the dates for the wage increase and the health and welfare increase, when did the P&L start to see the benefits of the new wage agreement last year?
Judy McReynolds: November.
Matthew S. Brooklier - Longbow Research LLC: Okay November 3rd alright, well thank you and congratulations.
Judy McReynolds: Yes, thanks Jeff.
David Humphrey: Thanks Jeff.
Operator: Our next question comes from the line of Brad Delco. Please proceed.
Brad Delco - Stephens Inc.: Good morning Judy. Good morning gentlemen.
Judy McReynolds: Morning, Brad.
Brad Delco - Stephens Inc.: Maybe Michael for you, speaking about the balance sheet now and given that you have more visibility I guess into sort of the earnings of the contract, any thoughts on deployment of capital, I know you guys are very focused on the non-asset portion of the business but anything you could provide us in terms of what your thoughts are around the balance sheet and what you can do with your cash?
Michael Newcity: As you mentioned Brad, we are active on organic investment. We have got an active process in looking at acquisition so we are still very active in growing those non-asset based businesses so that will take cash to do that and clearly in terms of what we do with other things like dividend, that's something that we are evaluating but right now the primary focus is on growing the non-asset business.
Judy McReynolds: Well and the other thing I would add Brad, there may be some opportunities on the ABF equipment side, ABF Freight equipment side that we need to take advantage of that would address the maintenance issues that we are seeing a little bit quicker. So that's the part of our evaluation as well and I agree with what Michael said, the growth of those emerging businesses is a high priority for us but we do recognize that we have a dividend level out there and so we will be evaluating that as we go through the next few quarters and we can – we will speak proactively about that when we have gone through that process
Brad Delco - Stephens Inc.: Got you and then maybe another quick one I think Judy you said 20% below current dock worker productivity, you wouldn’t quantify that dollar amount is that correct, but could you maybe give us,
Judy McReynolds: well I think what part of that is, in Europe modeling you have hours and rates per hour and efficiencies that are modeled in there and were giving you the effectiveness one group of employees and we are telling you what percentage that is of the total and I think the best answer is for you to understand the productivity impact and understand how that affects the total workforce and that because I think if we give number of effects that has a lot of assumptions with it and that hard to deal with relative to what your modeling and your expectations.
Brad Delco - Stephens Inc.: Okay but that the timing of when these dock workers working on was first and second quarter though a year from that as when we really count on that.
Judy McReynolds: Many of them yes, we really started to see that, I mentioned earlier this the strongest sequential growth that we seen in probably 15 years better part of that occurred in mid February forward and so that’s when a lot of this effect has come on and so.
Brad Delco - Stephens Inc.: Well, thanks for the time.
Judy McReynolds: No problem Brad.
David Humphrey: Sam, I think we’ve got time for one more question.
Operator: Perfect. Our last question comes from the line of Rob Salmon, please proceed.
Judy McReynolds: Good morning Rob.
Robert H. Salmon – Deutsche Bank AG: Good morning. With regards to I guess Judy when we were thinking about the kind of network balance between tonnage and yield, you obviously called that there is some incremental expense associated with the dock workers you have been hiring, can you guys talk about how you kind of tapering a back little bit the tonnage growth just to drive improved overall network profitability or you see that the pricing environment is such where you rather get the tonnage incurred near-term earnings headwind given the longer term opportunity.
Judy McReynolds: Rob, I think I spoke to this earlier. We talked about that as we bring on business we are looking at that deal by deal and we make that evaluation, we are going to see if that business creates a better scenario for us or worse scenario for us. And you have to make a little bit of longer term decisions than just the quick decision on some good LTL business, you want to make sure that you are making a right decisions. where we have some flexibility and we are addressing that is in the spot truckload market and we have some declining levels when you compare year over year in that category and this is one way that you can address the issue that you are talking about but all that being said, you can do too much of that too because that business can be good for us in certain situations and we want to be sure that we have it there when we need it.
Robert H. Salmon – Deutsche Bank AG: Alright, clearly it’s an networking you have got balance that those dynamics. When I thinking about the Panther business growth on both the top line and bottom line surprised kind of our expectations, how should be we thinking about the near-term growth opportunity, I realized you guys need a lot of sales adjustments and any sort of commentary in terms of potential driver or purchase transportation cost increase that we should be thinking about in the back half.
Judy McReynolds: Alright, for purchase transportation with respect to Panther, you are seeing great management of the balance between the revenue side and the cost side in that company and we feel really good about what’s happening there near term I think if you look at the life for Panther it looks really good as well and so we are excited about what the management team at that business has done and when we talk with them about business opportunities there is lot there and so and the growth that we have seen in the improvement profitability has really been across vertical. It hasn’t been in one particular place and I think as you look out, I was looking at a something that the ATA – The American Trucking Association split out about just the some of the capacity issues and that sort of things and in a capacity constrain environment Panther does well because they often times are the answer whenever other answers don’t work and so we like that business, we like the positioning of that business and we would like for it to be a lot bigger.
Robert H. Salmon – Deutsche Bank AG: Thanks so much for the time.
Judy McReynolds: No problem.
David Humphrey: Okay thanks a lot. Well I think that concludes our call. We thank you for joining us this morning and we appreciate your interest to ArcBest Corporation. Our call now ends. Thank you.
Operator: Ladies and gentlemen that does conclude the conference call for today. We thank you for your participation and as do you please disconnect the line.